Operator: Good morning and welcome to the Endava Q4 and Fiscal Year 2023 Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] As a reminder, this event is being recorded. I would now like to turn the conference over to Laurence Madsen, Head of Investor Relations and ESG. Please go ahead.
Laurence Madsen: Thank you. Good afternoon, everyone, and welcome to Endava's fourth quarter and full fiscal year 2023 conference call. As a reminder, this conference call is being recorded. Joining me today are John Cotterell, Endava's Chief Executive Officer, and Mark Thurston, Endava's Chief Financial Officer. Before we begin, a quick reminder to our listeners. Our presentation and our accompanying remarks today include forward-looking statements, including but not limited to statements regarding our guidance for Q1 fiscal year 2024 and for the full fiscal year 2024, ability to grow revenues and, in particular, growth and expansion in our industry verticals, our combined business optimization actions, enhancements to our technology and offerings, the impact of adverse macroeconomic conditions, and our business strategies, plans, and operations. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those contained in the forward-looking statements. Actual results and the timing of certain events may differ materially from the results or timing predicted or implied by such forward-looking statements, and reported results should not be considered as an indication of future performance. Please note that these forward-looking statements made during this conference call speak only as of today's date, and we undertake no obligation to update them to reflect subsequent events or circumstances other than to the extent required by law. For more information, please refer to the Risk Factors section of our annual report filed with the Securities and Exchange Commission on September 19, 2023. Also, during the call, we'll present both IFRS and non-IFRS financial measures. While we believe the non-IFRS financial measures provide useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with IFRS. Reconciliation of such non-IFRS measures to the most directly comparable IFRS measures are included in today's earnings press release, which you can find on our investor relations site or on the SEC website. A link to the replay of this call will also be available on our website. With that, I'll turn the call over to John.
John Cotterell: Thanks, Laurence. I'd like to thank you all for joining us today and hope that you're all well. We're pleased to be here to provide an update on our business and financial performance for the three months ended June 30th, 2023 and for the full fiscal year 2023. Despite the challenging macroeconomic environment, we reported a good quarter, with revenue totaling GBP189.8 million for Q4 of our fiscal year 2023, representing a 5.2% year-on-year increase from GBP180.4 million in the same period in the prior year. We ended the quarter with an adjusted profit before tax for the period of GBP38.3 million, representing a 20.2% adjusted profit before tax margin. For the full fiscal year 2023, our revenue totaled GBP794.7 million, representing a 21.4% year-on-year increase from GBP654.8 million in fiscal year 2022. We ended the year with an adjusted profit for tax of GBP164.2 million, representing a 20.7% adjusted profit before tax margin. It's now 23 years since we started Endava, and we've grown with tremendous momentum since then and through cycles and changes. Macro and IT services have been challenged over the last three quarters. And banking, financial services, insurance, and Europe has been challenged, as we all know, giving significant headwinds to the business. But I didn't start this journey imagining that we would always have a tailwind. We see tremendous opportunity going forward and are managing for the long term. And I'm committed to continue to execute on our vision. Our strategy remains the same, but it is also expanding given our success and the opportunities in front of us. We're focused on diversification of our verticals and client geographies, expansion of our delivery to be more global and continued innovation around new technologies and solutions for our clients. We have a strong track record on organic and inorganic investment and we'll accelerate that as we move forward. We're inherently conservative as you know, but are seeing real signs of improvement, which will impact our second half of fiscal year 2024. We have a fiscal year that ends in June, so our guide for FY ‘24 continues to be constrained by the slower start in H1 and doesn't reflect the full year pickup that will become visible for calendar year 2024. A little more on the current situation. The wave of caution, particularly in banking and financial services and private equity portfolio companies, continues to impact revenue in the short term. However, in parallel with this, we continue to see high levels of new business shaping up, continuing from the Q4 bump highlighted in our last call. These new opportunities will take a while to ramp and hit revenue at scale, but they give us confidence in a return to growth and are the reason for our confidence in H2 of fiscal 2024, which Mark will discuss in our guide. As a result of our long-term outlook, given these immediate market dynamics, we're taking the opportunity to invest in the future. Firstly, we continue to expand our sales and marketing activity and to push into our target growth areas in the US, Europe and rest of the world. Secondly, we are investing in and building strong AI propositions, including accelerators, in our target industry verticals. More on each of these areas later. In the last quarter, we continued to prioritize our efforts on larger relationships that can grow and scale, with a total of 146 clients each paying us in excess of GBP1 million per year, compared to 134 in the same period last year, representing a 9% year-on-year increase, with the biggest increase coming from clients who paid us over GBP5 million per year. This cohort increased by 38% to [33%, compared to 24%] (ph) in the same period in the prior year. In fiscal year ‘23, we had one client with billings of just over 10% of our revenue, namely Mastercard. Having worked together with Mastercard for more than 20 years, we're thrilled to announce the extension of our long-standing partnership with a new five-year MSA that will strengthen and deepen the strategic relationship between Endava and Mastercard. This agreement will see Endava continue to help Mastercard deliver and evolve their market-leading suite of global payments products and platforms. We continue to see great demand for modernization and innovative solutions across the payments domain, and we're excited to continue partnering with Mastercard, a global leader in payments technology, to bring this next generation of payments products and platforms to market. As noted earlier, we're taking the opportunity of lower utilization to invest. In particular, we're investing in AI propositions for different sectors and have built accelerators, which are reusable assets to accelerate implementation timescales. I'd like to give some examples of these assets and how we use them. In our financial vertical, we've built a generative AI based assistant for wealth managers that combines information from client data sources with information found from Internet searches and proprietary databases in order to build a picture of a potential client. The assistant provides a question-and-answer interface, similar to ChatGPT, to allow the wealth manager to quickly learn more about the client. Using the information it has gathered, the assistant can also identify discussion topics and generate a set of talking points for wealth advisors to use in discussion with clients. This accelerator helps wealth management organizations understand the potential of generative AI in their specific environment. Our insurance team has an acceleration program focused on how claims management will be transformed by the use of AI, advanced automation, and modern customer experience technologies, none of which are widely used in claims management applications today. There are also many ways for us to use AI in our own business and in client delivery. The Endava coding assistant is an example of using an exploratory prototype to understand the potential of a new technology, and exploring ways of using it that deliver -- differ from the features of commercial products, like GitHub Copilot in this case. The tool provides us with a way to increase our developers' productivity whilst meeting specific client needs related to training datasets and data privacy. We're also investing in developing an internal AI platform to showcase the potential of AI to our clients, acting as both a scalable open-sourced accelerator and a business transformation tool. By integrating our internal generative AI accelerators, we're building a diverse AI catalog, enabling swift prototype developments and tailored solutions for demonstrating business needs. We believe that this platform approach will enable us to demonstrate to our clients the ability for AI transformation at scale. The growth of AI is also creating demand in adjacent spaces, one of which is synthetic data to train machine learning models, where real world data is not readily available, due to privacy or regulatory restriction and frequency of events or safety challenges in data collection. The Endava Synthetics team joined us from Microsoft, where they were responsible for all aspects of synthetic client delivery. We are already helping clients build more robust machine learning solutions by providing tailored synthetic data built to tackle complex challenges, optimize performance, and unlock new opportunities. In one project, we collaborated with a client in the manufacturing sector who sought to utilize synthetic data to generate observations of rare defect types in their production line. Due to the scarcity of real-world observations, the client previously struggled to effectively train a neural network to detect these specific defect types. By leveraging the client's existing CAD parts files as a starting point, we designed procedural systems to artificially generate large scale variability of anomalies. As a result, the client was able to train models that achieve a 96% detection accuracy when evaluated on real data, greatly improving production quality. In another example, due to the privacy restrictions associated with utilizing real-world data for model training in the retail sector, we enabled a client to leverage synthetic data to produce an array of machine learning capabilities such as people counting and entrance/exit tracking. This enabled a deeper understanding of customer interactions within their physical spaces and the ability to harness these insights to enhance the efficiency, i.e. queue management, and effectiveness, product layouts, of the retail experience. In healthcare, our industry experts are working on a generative AI-based synthetic data generator specialized on clinical data, allowing testing of healthcare systems without the need to use confidential, real clinical data. We believe there are many other industries with similar constraints where this know-how can be applied in the future. On the partnership side, we continue to invest in the build-out of our alliance ecosystem, working in collaboration with industry-leading technology companies to support our clients' digital transformation ambitions. We continue to build on Endava's heritage in payments and were awarded Stripe’s UK&I Partner of the Year award and have established a strategic partnership with checkout.com. We are leading the way in cloud across all hyperscalers. Endava successfully achieved the AWS migration competency, working in partnership with AWS to accelerate our clients' time to value when shifting workloads to the cloud. Our work with Google continues with the expansion of our Google team into the US, and with Microsoft Azure, Endava achieved the Azure Data and AI, and Azure digital and app innovation partner designations. Lastly, our partnership with Salesforce is growing significantly as we align to their industry cloud strategy, focusing initially on the financial service cloud and automotive where we support clients in areas such as specialty insurance, retail banking and the switch to electric mobility in the automotive sector. Over the past 12 months, we have invested significantly in expansion in the Middle East and Asia Pacific. This has taken rest of the world to 8% of revenue in Q4 FY ‘23 and enables a genuinely global delivery capability to be deployed. Given the global footprint of many of our largest clients, this is a key strategic step from which we are now seeing the benefits in increased demand. In FY ‘23, as part of our focus on rest of the world, we completed three acquisitions in Asia Pacific, starting with Lexicon last October, Mudbath in May, and more recently, the DEK acquisition that was completed in June. DEK develops cutting edge software solutions across a range of applications, including embedded systems, real-time solutions, telecoms and data communications. The acquisition brings around 660 operational employees along with a delivery location in Vietnam. We ended FY ‘23 with over 1,000 [Endavans] (ph) in APAC compared to less than 50 in FY ‘22. With these acquisitions and our own organic growth, we believe we have built a solid foothold in the region and we are now at a scale which should help us become a significant provider of software services to clients in the region. We believe APAC is a region with great potential, and we're excited about our growth prospects. I'd like to take this opportunity to highlight some of the work we're doing for clients in both the Middle East and Australia. In the Middle East, Endava has been working with businesses based in the Kingdom of Saudi Arabia for over five years now. And over the last 12 months has been supporting a digital bank being launched as part of the Kingdom's 2030 vision. Endava’s analysis architecture and engineering teams are working closely with the bank's product, technology and business departments to both design and build greenfield retail banking capabilities, as well as supporting the bank in reaching the necessary compliance standards set by the industry and the local financial authorities. Endava has supported a leading payment processing and gateway service provider for the MENA region across several key technology initiatives. The client's mission is to empower online businesses with a simple, affordable, and trusted payment experience. The Endava team provided payments domain expertise and engineering capabilities to enhance the client's existing platform with new SDK and plug-in functionality, in addition to reviewing and redesigning their existing API capabilities to reflect a world-class developer experience. These additional capabilities and improved developer experience are expected to offer our clients, customers, a more intuitive and flexible user experience, as well as giving our client additional revenue opportunities through additional e-commerce channels. In Australia, Endava is working with Seeing Machines, a leading supplier of driver and occupant monitoring system technology. Seeing Machines' mission is to reduce the number of injuries and fatalities on the road caused by driver fatigue or distraction. We are helping develop proprietary software based on sophisticated algorithms able to preempt driver fatigue and detect distraction. Developing software to run on lower cost hardware and data annotation for machine learning and AI are some of the areas that we are involved in. Again, in Australia, we are working with a leading global life sciences company that provides scientific instruments, software and services used in research laboratories and other scientific applications, primarily serving the pharmaceuticals and biotechnology industries. Over the past decade, our proven expertise in designing and developing software for highly regulated industries has led us to work with them on numerous projects, from designing and developing new products to quality assurance. Moving on to the US, this summer, we announced our official partnership with Toyota Racing Development North America. The goal of this partnership is to help deliver the best experiences possible to Toyota racing team’s partners, and fans both on and off the track. One of the first programs we are embarking upon aims to create new digital experience for Toyota's North America Driver Development Program. We are growing our activities in North America with our recent acquisition of TLM partners. TLM provides outsourced development services across design, engineering, art, and animation for PC and console video games and other digital entertainment. TLM has particular expertise in highly complex areas of cross-play, middleware, physics, engine-level tools and technical art and has an impressive list of clients in the gaming sector. TLM is credited as a co-developer on many AAA franchises including Immortals of Aveum, Call of Duty, Marvel's Midnight Suns and Gotham Knights. Jake Hawley, the Founder and CEO of TLM and his leadership team, bring huge gaming experience and strong industry relationships. Today we published the third edition of our sustainability report, which can be found on our website. I'd like to share some of the highlights from our latest report. Our RISE mentoring program, specifically targeted for the advancement of women in senior level roles is showing excellent results. Over 60% of the individuals who completed the program since it was launched in November 2021 have received a grade promotion or had an increase in responsibilities or change in role. We're also proud of the impact we have through our Endava Tech campus, which brings together all the tech education projects that we support. I'm also delighted that by Delivering consistent and valuable experiences to our customers, we continue to improve our customer satisfaction skills. We also provide examples of our work to help clients build sustainable business models, such as teaming with Grameen America to provide better support to underserved women entrepreneurs in the US. We're also advancing our environmental agenda. We had our Scope 1 and Scope 2 greenhouse gas emissions data assured by the PWC and aim to set our science-based targets initiative in 2024. I am proud to share our progress and our stories as we continue on our sustainability journey. We ended the quarter with 12,063 employees, a 1.8% increase from 11,853 in the same period last year. In the current environment, our recruitment is focused on areas of strong demand, as well as continuing to strengthen our sales and marketing team. In summary, despite the recent challenges and based on our conversations, we believe clients' activity in exploring and commissioning new product will overtake the headwinds over recent quarters and see us return to growth. I will now pass the call on to Mark, who will walk you through our financial results for the quarter and of the last fiscal year and provide guidance for the coming quarter and fiscal year.
Mark Thurston: Thanks, John. Endava’s revenue totaled GBP189.8 million for the three months ended June 30th 2023 compared to GBP180.4 million in the same period in the prior year, a 5.2% increase over the same period in the prior year. In constant currency, our revenue growth rate was 4.8%, including a 3.7% inorganic contribution during the quarter. Profit before tax for Q4 fiscal year 2023 was GBP24.9 million compared to GBP32.5 million in the same period in the prior year. Our adjusted profit before tax for the three months ended June 30, 2023, was GBP38.3 million compared to GBP36.2 million for the same period in the prior year. Our adjusted profit before tax margin was 20.2% for the three months ended June 30, 2023, compared to 20.1% for the same period in the prior year. Our adjusted diluted earnings per share, or EPS, was 57p for the three months ended June 30, 2023, calculated on 58.1 million diluted shares, as compared to 51p for the same period in the prior year, calculated on 58.0 million diluted shares. Our adjusted diluted EPS at 57p for Q4 was much stronger than anticipated due to a number of one-off items in the quarter and a lower-than-expected tax charge. These items accounted for 10p of adjusted diluted EPS and our adjusted diluted EPS for Q4 after adjusting for these items would have been about 47p. Revenue from our 10 largest clients accounted for 35% of revenue for the three months ended June 30th 2023 compared to 32% for the same period last fiscal year. Additionally, the average spend per client from our 10 largest clients increased from GBP5.8 million to GBP6.6 million for the three months ended June 30th, 2023, representing a 13.7% year-over-year increase. In the three months ended June 30th, 2023, North America accounted for 30% of revenue compared to 35% in the same period last fiscal year. Europe accounted for 24% of revenue compared to 22% in the same period last fiscal year, the UK accounted for 38% of revenue compared to 40% in the same period last fiscal year, while the rest of world accounted for 8% compared to 3% in the same period last fiscal year. Revenue from North America declined 8.2% for the three months ended June 30, 2023, over the same quarter of fiscal year 2022. Comparing the same periods, revenue from Europe grew 13.4%, the UK grew 0.1% and the rest of the world grew 177%. Revenue from Payments and Financial Services grew 7.2% for the three months ended June 30, 2023, over the same quarter of fiscal year 2022 and accounted for 52% of revenue compared to 51% in the same period last fiscal year. Revenue from TMT declined 7.2% for the three months ended June 30, 2023, over the same quarter of fiscal year 2022, and accounted for 22% of revenue compared to 25% in the same period in the prior year. Revenue from other grew 13.5% for three months ending June 30, 2023, over the same quarter of fiscal year 2022 and now accounts for 26% of revenue compared to 24% in the same period in the prior year. Our adjusted free cash flow was GBP31.5 million for the three months ended June 30, 2023, compared to GBP43.4 million during the same period last fiscal year. Our cash and cash equivalents at the end of the period remained strong at GBP164.7 million at June 30, 2023, compared to GBP162.8 million at June 30, 2022. Capital expenditure for the three months ended June 30, 2023, as percentage of revenue was 1% compared to 2.1% in the same period last fiscal year. I'd now like to move on to some highlights for our fiscal year 2023. Endava's revenue totaled GBP794.7 million for the fiscal year 2023 compared to GBP654.8 million in the previous fiscal year, a 21.4% increase over prior year. In constant currency, our revenue growth was 16.6%, including a 2.3% inorganic contribution during the full fiscal year. Profit before tax for the fiscal year 2023 was GBP114.2 million compared to profit before tax of GBP102.4 million in the prior year. Our adjusted profit before tax for the fiscal year 2023 totaled GBP164.2 million compared to GBP138.3 million in the prior year. Our adjusted profit before tax margin remained strong at 20.7% for the fiscal year 2023 compared to 21.1% for last year. Our adjusted diluted EPS was GBP2.28 for the fiscal year ended June 30, 2023, calculated on 58.1 million diluted shares as compared to GBP1.93 for the previous fiscal year calculated on 58.0 million diluted shares. Revenue from our 10 largest clients accounted for 33% of revenue for the fiscal year ended June 30, 2023, compared to 34% for the previous fiscal year. Additionally, the average spend per client from our 10 largest clients increased from GBP22.2 million to GBP26 million, up 17.5% year-over-year. In terms of geographies, on a year-over-year basis, North America was up 13.2% year-over-year, Europe up 32.3%, the UK up 14.2% and the rest of the world up 151.2%. On a year-over-year basis, revenue from Payments and Financial Services increased 25.4%, TMT increased 6.4% and Other increased 28.5%. The year-over-year growth in Other came mainly from mobility and Healthtech. Our adjusted free cash flow was GBP111.5 million for the fiscal year ended June 30, 2023, compared to GBP107.2 million during the same period last year. CapEx for the fiscal year ended June 30, 2023, as a percentage of revenue was 1.7% compared to 2.1% during the same period last year. Now turning to our outlook for Q1 and full year fiscal 2024. As John mentioned in his comments, the revenue outlook remains challenging. Our Q1 revenue outlook reflects further delays in client decision-making that impacted our Q4 FY '23 outlook when guiding in May. However, we are seeing stronger activity than in recent quarters, especially in large-scale opportunities, which will take time to ramp up and produce revenue. Therefore, we don't expect to see a significant uplift in revenues until Q3 in FY '24, with Q1 and Q2 showing a flat sequential profile. If you look at this outlook on a near-term basis, the guide implies a constant currency growth of 3%. We looked at on a 12-month basis to December 2023, we expect to return to high teens growth by Q4 FY '24. As concerns profitability, adjusted PBT should be subdued compared to the most recent quarter in FY '23 as we maintain a bench in readiness for the recovery we are seeing develop in H1 and build through H2. We anticipate recovery to historic levels of profitability by Q4 FY '24. Additionally, I draw attention to the increase in corporation tax in the UK with effect from April 2023, where rates increased from 19% to 25%. As a consequence, our adjusted tax rate is expected to rise from 19.4% in FY '23 to 21.3% in the FY '24 guide. With that context, let me now turn to the guide. Our guidance for Q1 fiscal year 2024 is as follows. Endava expects revenue to be in the range of GBP186 million to GBP187 million, representing constant currency revenue decrease of between minus 2% and minus 1%. Endava expects adjusted diluted EPS to be in a range of 34p to 35p per share. Our guidance for full year fiscal year 2024 is as follows. Endava expects revenue to be in the range of GBP780 million to GBP795 million, representing constant currency growth of between 1% and 3%. Endava expects adjusted diluted EPS to be in the range of GBP1.52 to GBP1.62 per share. This above guidance for Q1 fiscal year 2024 and the full fiscal year 2024 assumes the exchange rates at the end of August 23, when the exchange rate was GBP1 to $1.27 and EUR1.16. This concludes our prepared comments. Operator, we are now ready to open the line for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Today's first question comes from Bryan Bergin with TD Cowen. Please go ahead.
Bryan Bergin: Hi, thank you. I wanted to start here on the fiscal '24 outlook and try and unpack it a little bit. Can you talk about what you're expecting out of the PE backed client cohort and payments versus the balance of the portfolio? And if you can really talk about the PE client behavior that you've seen progress here over the last several months.
Mark Thurston: Hi, Bryan. So PE is behaving as we expected. As you remember, we had a slowdown from Q3 to Q4 when we lost about sort of GBP10 million of quarterly run rate to mid GBP30 million, GBP35 million odd run rate. Q4 ended up basically where we expected. At the time of giving that guide, we did anticipate PE coming off slowly into Q1, so getting into the sort of low 30s. Basically, we're not assuming any pickup from that level of activity through FY '24, although we are starting to see some activity in our due diligence components of the portfolio, although that is a very small percentage of revenue. So we're taking a conservative view through the balance of FY '24 as regards to PE.
Bryan Bergin: Okay. And my follow-up on margin here. So Mark, can you talk about -- some of the cadence was helpful there. Can you talk about just adjusted PBT level expectations? And you mentioned investments, obviously, with lower revenue growth, you have the utilization headwind here. But can you quantify how much of the pressure here, maybe investments that you're ramping in accelerators in the AI solution development you discussed versus lower utilization versus any other factors? And just as a starting point, what are you baking in, in 1Q as you ramp forward?
Mark Thurston: Why don't I start there? So our Q4 adjusted PBT was 20.4%. I called out a number of one-offs. I can touch on those at a later stage, you won't need to follow up. But basically, we have normalized adjusted PBT of about 17.5%, which is roughly what we were guiding implied in our 45p guide for Q4. Now for Q1, it is going to come off as reflected in the EPS going down from, let's call it, a normalized 47p, 45p to 35p is mainly being felt on the revenue and gross margin. So our gross margins are contracting going from Q4 to Q1. Part of that is what are those exceptional items reversing, which captured 1% of marginal decel. And the rest is basically utilization. It's a mixture of slightly increasing bench investment in accelerators. So we're deploying people on the bench to work on some of those accelerators, and also, we've seen a higher level of holiday taken as well. And then the balance to bring this down to Q1 is on SG&A, basically, where we see a sort of rebuilding in commission and other costs. Basically, that's a low point, if I could call it that, on adjusted PBT. We may see a bit of pressure on that as we go into Q2 because the revenues are going to be flat, and we do continue to invest mainly in sales and marketing in Q2, but also in our integration activities for Asia Pac in particular. And then as we see sequential sort of recovery as we go into Q3, Q4, gross margin starts to rise as we utilize the bench and get back to more normalized levels. To anticipate exiting Q4 at the levels of gross margin that we've typically seen in the past around 39% and our adjusted PBT come back up to that 19.5%.
Bryan Bergin: Okay, very helpful. Thank you very much.
Operator: Thank you. And our next question today comes from James Faucette with Morgan Stanley. Please go ahead.
James Faucette: Thank very much. I wanted to follow-up once again on the outlook. You talked about better sales pipeline, et cetera, particularly going into next year. And I guess, just a couple of questions there. First, how should we square that with kind of what you're seeing in terms of some ongoing cancellations or pushouts? Just trying to figure out kind of how to put those together and what's driving that decision making. And then another common question that we get is, clearly, your fiscal year and where you're looking for acceleration bridges into next year, and a lot of your customers really won't be setting budgets until late this year or early next year. So what are the things that you're looking at that's really giving you the incremental confidence that those will be able to be delivered as expected early next calendar year? Thanks.
John Cotterell: Yeah. Thanks, James. So the outlook as we're looking forward, we're seeing the context of the historic headwinds that started at the end of March, that wave of caution that followed [SVP] (ph). And of course, particularly BFS [Technical Difficulty] the portfolio to slow down that Mark was touching on. And that had a full impact in Q1, partial impact in Q4 as they were ramping down. And so that's part of the macro that is feeding through into the Q1 numbers. And we've adopted a cautious view on that, as Mark was touching on, so they're not seeing a pickup through the financial year. So it's then the significant new opportunities that we're seeing that we're looking to drive growth, particularly in the second half. Now many of those we've actually started work on, and we're doing early-stage architectural studies or aviation work with clients. The challenge that we have is it takes a while for those to ramp significantly into revenue. Now historically, for us as a business, that has given us a huge level of confidence as we forecast and look forward and has given us a lot of consistency in the forecast we provided to market because we've seen those opportunities working through the system and growing steadily. In this situation, that is what's giving us the confidence as we look to H2 that those opportunities are starting and are ramping. It's just the time it takes for them to get to sufficient scale to have the noticeable impact on revenue. So that's what we based our forecast and our confidence on. The work, most of it is not related to calendar year '24 budgets. It is work where clients are picking off that work now. They have budget for us, and that's the foundation of the guide that we put looking forward.
James Faucette: That’s great. That’s really helpful, John. Thanks.
Operator: Thank you. And our next question today comes from Bryan Keane with Deutsche Bank. Please go ahead.
Bryan Keane: Hi, Mark. I was just going to follow up there and hoping you could maybe quantify the AI investments, and are those investments that are going to weigh on the margins? It sounds like it's a onetime investment maybe for three to six months and then it goes away, so has the margins come back by Q4?
Mark Thurston: Yeah. Let’s search and build on it. But, we're basically holding people for the work that we see in the second half. But we're actually deploying them on internal accelerators that John touched on in his comments. It probably is, I'd say, about a percentage of gross margin stemming through Q1 and Q2, and then as the opportunities return, we will rotate those people into doing [doable] (ph) work. If you want to add anything to that.
John Cotterell: I think you captured it there. Essentially, we're taking the opportunity of having some good people on the bench to actually build some stuff in an interesting area to the market, and that's helping to ease out some of the early-stage sales opportunities that we'll get into over the next quarter or so.
Bryan Keane: Got it, that's helpful. And then just looking by region, it looks like North America has been a little bit weaker than, obviously, Rest of World has been really strong for you guys. North America, though, has been a weaker region. Just trying to understand why North America versus maybe Europe, UK, Rest of World, doing a little bit better. Is there anything to read into that?
John Cotterell: Our experience in North America, particularly US, has been that the recession rate pressures started earlier there. So actually, we started seeing clients, West Coast Tech, we talked about quite a bit some of the retail banks, et cetera, are pulling back even as far back as Q2 last financial year. And actually, that's what's then impacted, because obviously that feeds forward into following quarters. That's what's impacted both the full year and the Q4 numbers. Having said that, we also are seeing the US starting to pull through stronger now and start to see getting to the other side of the recessionary pressures, with West Coast Tech starting to talk about budgets. They are talking about calendar year '24 budgets, and some of the other parts where we're strong in the US, banks and so on are also looking at budgets for next year. So the US, we're starting to see conversations around moving beyond these recessionary pressures, and we're seeing that ahead of the UK and Europe. Rest of the World is actually pretty strong across the board and that has been true in an organic sense as well as, obviously, the M&A work that we've done out there in the last few quarters.
Bryan Keane: Got it. Thanks for taking the question.
Operator: Thank you. And our next question today comes from Moshe Katri with Wedbush Securities. Please go ahead.
Moshe Katri: Hey, thanks for taking my question. You mentioned some of the larger deals that are taking longer to close or maybe to convert. Is there anything different in the nature of some of those larger deals that you're taking? Are you maybe focusing more on transactions that are more focused on cost synergies, cost takeouts, et cetera, versus what you've done in the past? Any color on that would be helpful. Thanks.
John Cotterell: Yes. So we're actually seeing a number of opportunities. I say seeing, a number of them, we've actually started work on with architecture studies and so on. One of the themes is platform consolidation, where we're seeing clients sometimes through M&A, sometimes through developing things in parallel, where they have multiple platforms for similar product areas and actually are wanting to consolidate those into a single platform. Often very large multiyear transformations, but ones in the current environment where they're choosing to get on with it because it is a route to substantial cost savings. So that's one of the big areas. We're also seeing, as I touched on in the opening remarks, opportunities in the Middle East around new digital banks kicking off new financial products being created and new digital services into the market. So across those areas, we're seeing projects kick off, which is these opportunities that we need to ramp on.
Moshe Katri: That's helpful. And then just a follow-up. Any view on the budget cycle for calendar '24? Do you feel internally that the budgets or the budget decisions may be delayed for next year?
John Cotterell: So, I mean, the signs that we're seeing are that people within organizations are wanting and hoping that there is going to be budget coming back in calendar year '24. We haven't really based our guide on that happening. We've been more conservative than that and based it on what we can see shaping up. So there is potential upside if budgets are released for calendar year '24, but we've not booked that into our guidance page.
Moshe Katri: Understood. Thanks a lot.
Operator: Thank you. [Operator Instructions] Our next question comes from Maggie Nolan at William Blair. Please go ahead.
Maggie Nolan: Thank you. You mentioned kind of the hints of the beginning of a recovery in the US. I'm wondering if you can contrast that a little bit more for us with the UK and Europe. Are you expecting incremental pressure from here in the UK and Europe or rather a steady state from these levels?
Mark Thurston: So I think the US, we think, is going to start to make a recovery quicker than Europe and UK. We can now start to come through, think about Q2. And largely driven, I think, by the recovery of TMT that we're seeing. In terms of Europe and the UK, it is a much more subdued picture. I'd say that Europe looks a little bit more robust than the UK at the moment, but really showing sort of meaningful sort of uptick in Q4. And it's a similar narrative for the UK as well. So Europe [stand back] (ph) from it, including Europe and the UK, it looks as though it's going to be quite subdued basically until about Q4 next year. North America, we think, starts to come by about Q2, Q3 this year, and I'm talking about our fiscal year here.
Maggie Nolan: Thank you. And then on AI, we understand that a lot of companies may not be ready to actually apply artificial intelligence within their businesses. So we're curious if there's any kind of demand for adjacent services or other areas that you may have expertise in as companies come to you and try to consult on Gen AI and how they can move their businesses forward in light of this trend?
John Cotterell: Yeah. So good question. I've touched on that a little bit at the last earnings call and also in my opening remarks this time. So one of the areas is all around data and preparing your data, getting data lakes ready, et cetera, that actually give you the foundations of information upon which to train models and so on. I touched on earlier, the synthetic data which covers the areas where it's very difficult to get real data to actually train models in order for models to be excellent, they need huge volumes of data, as you know. And when you're training edge cases, such as that manufacturing example that I gave, where there's actually very few production defects you're trying to get a machine to spot, then the use of synthetic data helps with that. So you put those together, and there's quite a lot of foundation work that we're seeing come through. We are seeing work come through and a lot of interest from clients. It's more at the ideation phase in terms of actually using some of the AI models in order to look at things like claims management and so on across their organizations. And we do think that will start to scale as clients get their heads around what's possible. There's also still a huge nervousness in the market around IT liability for using someone else's IP and inadvertently or losing your own IP because you get absorbed into a model in some way. We do believe that that the market will get through that fairly quickly as the AI models advance. The other area that we're very excited about is the other aspects of AI rather than just generative AI, and whether that's computer vision related activities and so on, and we're seeing as much -- probably more actually activity in those other areas of AI than in just the generative AI space, which, of course, has historically been true as well until the generative AI hit market recognition back in November.
Maggie Nolan: Thank you very much.
John Cotterell: Thanks, Maggie.
Operator: Thank you. And ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to the management team for any closing remarks.
John Cotterell: Thank you, and thank you all for joining us today. We're excited actually about the market opportunities over the medium to long term from all of the technological waves that continue to emerge, some of which we outlined on this call, and we're gearing Endava to continue as a leader as these tech waves gather strength. I look forward to speaking to you again at our next earnings call.
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.